Operator: Good afternoon, ladies and gentlemen, and welcome to the Cathay General Bancorp’s Fourth Quarter and Full Year 2015 Earnings Conference Call. My name is Latif [ph] and I’ll be your coordinator for today. At this time, all participants are in a listen-only mode. Following the prepared remarks, there will be a question-and-answer session. [Operator Instructions] Today’s call is being recorded and will be available for replay at www.cathaygeneralbancorp.com. Now I would like to turn the call over to Monica Chen, Investor Relations for Cathay General Bancorp.
Monica Chen: Thank you, Latif and good afternoon. Here to discuss the financial results today are Mr. Dunson Cheng, our Chairman of the Board and Chief Executive Officer, and Mr. Heng Chen, our Executive Vice President and Chief Financial Officer. Before we begin, we wish to remind you that the speakers of this call may make forward-looking statements within the meaning of the applicable provisions of the Private Securities Litigation Reform Act of 1995 concerning future results and events, and that these statements are subject to certain risks and uncertainties that could cause actual results to differ materially. These risks and uncertainties are further described in the Company’s annual report on Form 10-K for the year ended December 31, 2014, at Item 1A in particular, and in other reports and filings with the Securities and Exchange Commission from time to time. As such, we caution you not to place undue reliance on such forward-looking statements which speak only as of the date of this presentation. We undertake no obligation to update any forward-looking statements or to publicly announce any revision of any forward-looking statements to reflect future developments or events except as required by law. This afternoon, Cathay General Bancorp issued an earnings release outlining its fourth quarter and full year 2015 results. To obtain a copy, please visit our website at www.cathaygeneralbancorp.com. After comments by management today, we will open up this call for questions. I will now turn the call over to our Chairman of the Board and CEO, Mr. Dunson Cheng.
Dunson Cheng: Thank you, Monica and good afternoon everyone. Welcome to our 2015 fourth quarter earnings conference call. This afternoon, we reported net income of $41.4 million for the fourth quarter of 2015, a 16.5% increase when compared to a net income of $35.6 million for the fourth quarter of 2014. Diluted earnings per share increased 15.9% to $0.51 per share for the fourth quarter of 2015, compared to $0.44 per share for the same quarter a year ago. In the fourth quarter of 2015 our total loan grew $124 million to $10.2 billion, excluding $419 million of loans from acquisition of Asia Bank. The loan growth of 2015 was $830 million, representing an increase of 9.3% on an annualized basis. The increases in loans for 2015 resulted primarily from commercial and residential mortgage loans, which excluding the loans acquired from Asia Bank, grew by $850 million or 18% and $362 million or 23% respectively. And construction loans by $143 million or 48%.Commercial loans decreased by $66 million or 3%, we anticipate our loan growth of 2016 to be slightly below the loan growth of 2015. For the fourth quarter of 2015 our total deposits increased $271 million to $10.5 billion. For 2015, deposit grew organically by $1.3 billion or 15%. With the acquisition of Asia Bank total deposits grew $1.7 billion or 20% in 2015. We increased the dividend a second time during 2015 to $0.18 per share paid in December 2015. During the fourth quarter, we continued to repurchase our shares and we purchased 282,000 shares at an average price of $30.85. During the 2015, we purchased 2 million shares at an average price of $29.83 for a total cost of $59.4 million as part of our overall capital management efforts. We have 622,500 shares remaining under our August 2015 buyback authorization. We expect to buy back our stock from time to time in the public markets based on our capital levels and our stock price. With that, I will turn the floor over to our Executive Vice President and CFO, Mr. Heng Chen to discuss the fourth quarter 2015 financials in more detail.
Heng Chen: Thank you, Dunson and good afternoon everyone. For the fourth quarter, we announced net income of $41.1 million or $0.51 per share. Our net interest margin was 3.3% in the fourth quarter of 2015, as compared to 3.36% in the third quarter of 2015 and 3.36% for the fourth quarter of 2014. In the fourth quarter of 2015, interest recoveries and prepayment penalties added 5 basis points to the net interest margin compared to 5 basis points for the third quarter of 2015 and 4 basis points for the fourth quarter of 2014. The net interest margins for the fourth quarter of 2015 was reduced by 5 basis points because interest bearing deposits at the Federal Reserve Bank increased as a result of an influx in checking and money market accounts during the fourth quarter of 2015. Non-interest income during the fourth quarter 2015 was $9.4 million. Non-interest expense increased by $12.4 million or 30.2% to $53.5 million in the fourth quarter of 2015, compared to $41.1 million in the same quarter a year ago. The increase was mainly due to a $8.2 million increase in amortization of investments in affordable housing and alternative energy partnerships, a $1.7 million increase in salary and employee benefit expense, a $920,000 increase in OREO expenses and a $923,000 increase in other operating expense in the fourth quarter of 2015. We expect that the amortization of alternative energy partnerships will be about $1 million in the first quarter of 2016 compared to $7.9 million in the fourth quarter of 2015. The effective tax rate for the fourth quarter of 2015 was 28.8%, due to a delay in the installation of some solar energy systems, which we expect to be installed in the first quarter of 2016. We expect that the full year effective tax rate for 2016 assuming a similar amount of alternative energy tax credits would be approximately 28%. In addition, to the estimated effective tax rate of 28% for the full year of 2016, during the first quarter of 2016, we will record a non-cash charge to income tax expense of $3.4 million to reflect the Black-Scholes value related to stock options granted in 2006 that are expected to expire unexercised during the first quarter of 2016. At December 31, 2015, our tier 1 leverage capital ratio increased 11.95%, our tier 1 risk-based capital ratio decreased to 14.01%, and our total risk-based capital ratios decreased to 15.28% as compared to December 31, 2014. All ratios significantly exceeded well-capitalized minimum ratios under all regulatory guidelines. At December 31, 2015, our common equity tier 1 capital ratio was 12.93%. Net charge-offs for the fourth quarter of 2015 were $8.1 million or 0.08% of average loans due mainly to our loan that was substantially reserved as of September 30, 2015. Net charge-offs were $2.1 million in the third quarter of 2015 and $5.8 million in the fourth quarter of 2014. Our gross loan loss recoveries during the fourth quarter of 2015 were $1.8 million and our gross charge-offs were $9.9 million. Our loan loss reversal was $3 million for the fourth quarter of 2015, compared to $2.25 million for the third quarter of 2015 and $2 million for the fourth quarter of 2014. Our non-accrual loans decreased by 26.8% or $19.1 million during the fourth quarter to $52.1 million or 0.52% of period-end loans as compared to the third quarter of 2015.
Dunson Cheng: Thank you, Heng. We will now proceed to the question-and-answer portion of the call.
Operator: [Operator Instructions]. Our first question comes from the line of Matthew Clark of Piper Jaffray. Your line is open.
Matthew Clark: Good afternoon guys.
Dunson Cheng: Hi, Matt.
Heng Chen: Hi, Matthew.
Matthew Clark: Maybe, first on the loan growth in the quarter, just curious if we can get an update in the C&I line. It was down again. I know last quarter I think there were some deliberate payoffs that you guys may have pushed out the door. Just curious, though, what else you might be seeing on that front?
Dunson Cheng: Yes, as you know, some of our C&I launched many of them to you, exporters and importers from China. And also, we also make loans to customers that are back by standby letters of credit from Bank of China. And in the fourth quarter alone we saw some $40 million loan being payoff, mostly because of the borrowers can or could obtain long stay at China at a more favorable interest rate than what they had to pay in U.S. dollars. And the second reason is that, that of course is because that China People’s Bank has lower interest rate several times. And the other reason is that the depreciation of RMB and as such U.S. dollar denominated loans will be more expensive if the yen continue to appreciate. So, that’s the reason for the decrease in the fourth quarter of our C&I launch.
Matthew Clark: Okay. Great. And then, maybe just in terms of loan pricing, spreads have come in quite a bit since the fourth quarter, just curious if you’ve seen it among your customer base as well?
Dunson Cheng: Yes, to a less extent than the previous quarters, we are still seeing competition coming in with lower pricing than what we would have wanted to do. And that is especially more in the CRE loans. And as a result of that in the fourth quarter, towards the end of the quarter we saw a lot of few large payoffs of CRE loans as a result of much lower pricing of them at the banks. On the C&I side, we are not seeing as much - and so, mainly in the CRE area.
Matthew Clark: Okay. And then just on the charge-offs in the quarter, it looked like it was in commercial as well. Just curious if, how much of that related to one relationship than, I guess, your expectations in terms of coverage ratios going forward?
Heng Chen: Yes, Matt, this is Heng Chen. Most of it was to one borrower for which it was mainly reserved for as of September 30. While we don’t want to comment as to specific borrowers, we can say it was not due to business conditions that we suffered the loss, the economic conditions, it was borrower specific.
Matthew Clark: Got it. Okay. I’ll step back. Thanks.
Operator: Thank you. Our next question comes from Lana Chen of BMO Capital Markets. Your question please.
Lana Chen: Thank you. Just also another follow-up on loan expectations for this year. Any signs of the China slowdown potentially impacting the residential mortgage growth? And also on the CRE side, given recent sort of regulatory, the regulators looking more heavily on that part of the business in terms of growth and exposure for the banks, any concern that that could potentially slow for you guys as well?
Dunson Cheng: Yes, Lana, this is Cheng. And with respect to residential mortgages we have been paying more attention to see how many loans signed application and how many loans are being bulk and compare that to previous quarters. As far as we can tell, our pipeline for mortgages is still strong. And we don’t see any drop-off in applications. And so, now, we had suspected that with what’s happening in China, some of our mortgage business would be reduced. But that we have not seen any sign of that.
Heng Chen: And on CRE, many of our loans are comes with or we give the borrowers a chance to rate-lock the rate, that we - it’s a non-refundable fee of 1%. So, in almost all cases, loans that are rate-locked wind up funding or wind up closing. So, for much of last, in December with the Fed increase we have many borrowers that rate-locked. So, right now we have $150 million of commercial real-estate loans that are rate-locked. That should close in the first quarter. So, that’s in terms of loan growth, we think the pipeline is pretty good. And so far for the first quarter, the growth should be probably stronger than the fourth quarter if there is no surge of payoffs.
Dunson Cheng: Lana is Dunson Cheng, and I’m sure everybody agrees that in the current environment, it’s very, very difficult to project with any certainty what the loan growth would be in 2016. But as Heng and I mentioned, that at this point in time, we are still seeing growth in almost all areas, all loan categories. And we feel that 2016 maybe a little bit slower than 2015, but at this point in time we don’t see it to drop dramatically.
Lana Chen: Okay, thank you. And just one follow-up question on expenses. Given the guidance on the amortization of the energy credits dropping from $7.9 million fourth quarter to $1 million in 1Q, that would imply a pretty significant decline in expenses in 1Q, Heng?
Heng Chen: Yes, I mean, if the solar energy amortization is very lumpy, so we see still $24.5 million in 2016 but if the $1 million in first quarter then the rest of it $23.5 million in Q2 through Q4. And then as far as expenses, the fourth quarter was little bit high. We typically have some fourth quarter expenses in terms of consulting projects, legal fees and so forth that are incurred and paid. So, yes, the first quarter should be a little bit better.
Lana Chen: Okay. Thank you.
Heng Chen: Sure. Thank you.
Operator: Thank you. Our next question comes from Joe Morford of RBC Capital Markets. Your line is open.
Joe Morford: Thanks. Good afternoon, guys.
Heng Chen: Hi Joe.
Joe Morford: I noticed there, it looked like some slight up-ticks in deposit costs across multiple products this quarter. Are you offering any particular promotions of note or are you feeling the need to be a little more competitive on pricing given your loan-to-deposit ratio?
Heng Chen: Yes Joe, Heng Chen. We have about $300 million of wholesale deposits that we expect to runoff in the first quarter. And if in terms of our deposit costs, based on the surveys that we see as well as our own deposits, we have not raised rates at all since the Fed increased prime. And given, for us, relatively loan-to-deposit ratio is, we would - we tend to want to wait longer before raising deposits because we do have access to wholesale funding that would help us meet loan growth. So, I don’t see any pressure for us to increase deposit rates for the next couple of months.
Joe Morford: Okay.
Dunson Cheng: Joe, this is Dunson Cheng. As far as promotion is concerned, what we have now is as Chinese New Year is approaching and traditionally we have small promotion for deposits. But this time because our liquidity is quite good, we are not giving any concession increase in rates. What all we are doing with this promotion is to give a monkey.
Heng Chen: It looks very nice.
Joe Morford: I’ll take your word on that one.
Heng Chen: You should see it on our website I think.
Joe Morford: Yes. I guess just following up on that, you talked about a little more price competition on the loan side, any comments on the outlook for the margin at all, Heng?
Heng Chen: Joe, I retired from giving guidance on the margin, so. But if you can look at our net interest income growth year-to-year and link quarter is pretty good. So, I think that would bode well. And we’re going to let our securities portfolio, we’re going to be cautious on reinvesting, we rather pay-down this $300 million of whole CDs. So, and then lastly, as I mentioned on the last call, February is a good month because we have so much in the way of mortgages, and I think this year is the 29-day month. But it’s still we get some extra margin increase from the short-month in February. So, that’s where we are.
Joe Morford: Okay, sounds good. Thanks so much.
Heng Chen: Sure.
Operator: Thank you. Our next question comes from Aaron Deer of Sandler O’Neill. Your line is open.
Aaron Deer: Hi, good afternoon, guys.
Heng Chen: Hi Aaron.
Dunson Cheng: Hi Aaron.
Aaron Deer: I’m just going to follow up on Joe’s question a little bit with respect to this deposit cost. I guess I was surprised too because it did have a lot of excess liquidity come in the quarter and yet the deposit costs were up. Was some of that just kind of carryover in deposit cost from promotions earlier in 2015?
Heng Chen: Yes, let me look at it, because - well, the money market, we have a number of products and we have for the large corporate customers, we have a premium money market account. And I mentioned that there was increase in money market. So, and then the CDs, so the money market went up 2 basis points link quarter, the CDs went up 2 basis points. That is just the impact from our summer CD promotion which is now fully ramped in.
Aaron Deer: Okay. And then going back to the loan growth in the quarter, it sounds like pay-downs were something of a headwind in the quarter. I’m curious can you give any sort of number in terms of what the volume of pay-downs were in the quarter, at least relative to what you’d been seeing in prior quarters?
Heng Chen: We just track it by the individual loans that change by more than $4 million. So, it would be any number we give you wouldn’t be accurate. But it certainly was more than it was in the third quarter.
Aaron Deer: Okay. And then lastly, on the tax credits, you’ve given some good guidance in terms of what we should expect for ‘16. As we look out to ‘17, do you have any decent visibility with your partner on those energy tax credits in terms of the availability of those for next year that we might expect something similar?
Heng Chen: Yes, yes, when Congress passed the budget bill in December, it extended the solo tax credit until 2019. So, we have several years. And given our, the amount of taxes that we’re paying, we have plenty of capacity. So we would try to keep the solo tax credit at the same dollar amount. And then meanwhile, if you look at the balance sheet, our - in the low-income housing and affordable - I’m sorry, in the alternative energy balance sheet, and that went up by about $90 million from a year-over-year. We are ramping up our investment in low-income housing much as some of the other banks have been doing. So that should help lower our effective tax rate in future years as well.
Aaron Deer: Okay. Good stuff. Thank you for taking my questions.
Heng Chen: Great, thank you Aaron.
Operator: Thank you. Our next question comes from Juliana Balicka of KBW. Your question please.
Juliana Balicka: Good afternoon.
Dunson Cheng: Hi Juliana.
Heng Chen: Hi Juliana.
Juliana Balicka: Hello. I have a few follow-up questions on some of the topics that have already been raised. On the tax credit amortization for next year, you’ve talked about the energy credits, but how much amortization should we be thinking about from the low-income housing investments?
Heng Chen: They would go up $4 million for the full year. So it’s $1 million a quarter.
Juliana Balicka: So $1 million a quarter, and how much was that in 2015, because your full amortization this quarter was $10 million versus you had talked about the $7.9 million related to the solar tax credit. So is there something unusual in this quarter?
Heng Chen: No, let me just try to do math without a calculator. So, for the full year, it’s - that line was $33.3 million, $24.5 million was solo, so the rest, I think it’s $9.8 million is low-income housing. So that could…
Juliana Balicka: Go ahead. Sorry.
Heng Chen: So that’s going to go up by $4 million in 2016.
Juliana Balicka: Got it. Okay; that makes sense. And then in terms of your deposit growth, was there any seasonality to the deposit growth in the fourth quarter that we should be thinking about and out-flows into the first quarter? And as you pay off the wholesale deposits, are you thinking about any particular section of deposits that will come in to fill that or will you just simply, are you looking for a decrease in balances? And also what is the rate at which the wholesale deposits are costing you?
Heng Chen: Yes, so in no particular order, we are just going to pay down the balances and then the average rate in those CDs are running up. It’s probably 85 basis points it’s like our average CD guidance, its 85 basis points. And then seasonality, I’m doing this from memory but in past years, our money market balances have dropped during the Chinese New Year, Irwin is it right?
Irwin Wong: Yes.
Heng Chen: Yes, that’s our Chief Operating Officer. So, we…
Dunson Cheng: And last yes, it’s little bit special because of our similar CD promotion brought in quite a bit of money. And the other one of course is our merger with Asia Bank. But in the fourth quarter itself our deposit growth was $270 million. And that is net of those two lumpy deposit growth that I talked about.
Juliana Balicka: Got it. And then could you give us an update on what your stock repurchases have been quarter-to-date and your appetite for repurchasing stock maybe in the first quarter, given where your stock price is right now versus kind of keeping it even throughout the year?
Heng Chen: Yes, so, Juliana, we repurchased 2 million shares in 2015 and we started in the middle of August. And we generally had a price target of just right around 30. So, we have 622,000 shares remaining, we would start buying back early next week when we are passed the blackout period. Then we will go to our board to ask for new authorization. We have plenty of dividend capacity. So we’ve told investors we want to manage our capital level. So we would depict, if our stock price is reasonable or appropriate, we would try to buy back 2 million to 3 million shares a year. And we would try to target like that 90% or 100% total capital returns. So our capital ratios would diminish over time as our loans grew.
Dunson Cheng: Juliana, this is Dunson Cheng. Just to repeat, our priority of excess capital usage is first and foremost is to grow our business. And secondly, it’s on dividend and then look at opportunity to grow the bank as well, so those are our priorities.
Juliana Balicka: Excellent. And then final question and I’ll step back. Quick housekeeping question on expenses. You had mentioned that your other expenses will tick down into the first quarter. And then could you remind us, how much is your seasonal up-tick from payroll, etcetera in the first quarter?
Heng Chen: It’s actually I’m guessing it’s about $600,000 in Q1 in FICA and then there is probably almost $1 million in the second quarter because that’s when we pay our bonuses. And so, that’s a seasonality of our payroll.
Juliana Balicka: Got it. Thank you very much.
Heng Chen: Thank you.
Operator: Thank you. At this time there are no questions in queue. [Operator Instructions]. Thank you for your participation. I will now turn the call back over to Cathay General Bancorp’s management for closing remarks.
Dunson Cheng: Well, thank you again for joining us for this call. And we look forward to talking with you at the next quarterly earnings release. Thank you.